Operator: Good morning, ladies and gentlemen. Thank you for standing by, and welcome to the Hamilton Lane Incorporated Second Quarter Fiscal Year 2021 Earnings Conference Call. 
 [Operator Instructions] 
 Please be advised that today's conference is being recorded. 
 [Operator Instructions]  
 I would now like to turn the conference over to your speaker today, John Oh, Vice President, Investor Relations. Please go ahead. 
John Oh: Thank you, Julie. Good morning, and welcome to the Hamilton Lane Q2 Fiscal 2021 Earnings Call. Today, I will be joined virtually by Mario Giannini, CEO; Erik Hirsch, Vice Chairman; and Atul Varma, CFO. 
 Before we discuss the quarter's results, we want to remind you that we will be making forward-looking statements based on our current expectations for the business. These statements are subject to risks and uncertainties that may cause the actual results to differ materially. For a discussion of these risks, please review the risk factors included in the Hamilton Lane's fiscal 2020 10-K and subsequent reports we file with the SEC. 
 We will also be referring to non-GAAP measures that we view as important in assessing the performance of our business. Reconciliation of those non-GAAP measures to GAAP can be found in the earnings presentation materials made available on the public Investor Relations section of the Hamilton Lane website. Our detailed financial results will be made available when our 10-Q is filed. Please note that nothing on this call represents an offer to sell or a solicitation to purchase interest in any of Hamilton Lane's products. 
 Beginning on Slide 3. Year-to-date, our management and advisory fee revenue grew by nearly 12%, while our fee-related earnings grew by over 14% versus the prior year period. This translated into year-to-date GAAP EPS of $0.79 based on $25.1 million of GAAP net income and non-GAAP EPS of $0.91 based on $48.8 million of adjusted net income. We have also declared a dividend of $0.3125 per share this quarter, which keeps us on track with a 13.6% increase over last fiscal year, equating to the targeted $1.25 per share for fiscal year 2021. 
 With that, I'll now turn the call over to Mario. 
Mario Giannini: Thanks, John, and good morning. We had another strong quarter of growth and are continue to be impressed by and proud of our team that have tremendous efforts in meeting and exceeding needs of our clients, all while juggling their own daily lives. 
 While we continue to operate virtually across many of our global locations, we are starting to see some return to normal in several of our offices outside the U.S. is imported in the office and in-person meetings with clients and prospects. Across the firm, productivity and output remains strong, employee engagement is high, and we continue to remain heavily at our strong technology backbone, both to keep us connected and to service our clients. This has all resulted in continued growth and support from both new and existing clients. 
 I'll shift gears now and turn to an update on our new headquarters build and highlight a new office was open in Asia. A quick reminder regarding our new headquarters. We assigned a 17-year lease to occupy approximately 130,000 square feet in a newly constructed building located in a Subvert Philadelphia. The square footage nearly doubles our current footprint. And while we envision growing into the space over time, in the near term, the additional footprint allows us to provide a safe and socially distant safe environment for our employees. And to the extent we find ourselves with extra space we wish to sublet [indiscernible]. Construction continues to progress well, and we anticipate to relocate in the new space in the first half of 2021. 
 In Asia, we've opened a new office in Singapore. This further expands our Asian presence and puts us closer to investors and investment opportunities in that region. 
 I'd also like to speak about a few recognitions the firm recently received. I highlight that not only because it speaks to the first-class organization we built, but also to demonstrate what is truly important to us and our culture. I'm proud to say that for the 9th consecutive year, Hamilton Lane has been selected as a Best Place to Work in Pennsylvania by the Central Penn Business Journal.
 It's a statewide program dedicated to identifying and recognizing Pennsylvania's best employers. 
 In addition, the firm was recently designated by the Private Equity Women Investor Network as the International Limited Partner of the Year for 2020. This award is given annually to an outstanding institutional limited partner who has demonstrated a commitment to encouraging and supporting female investors in the private equity industry. It's a tremendous honor to be selected for this award and reflects the deep commitment that Hamilton Lane has for creating its diverse work environment. 
 Past few months have caused us, like many firms, to again reexamine our principle and to ask whether we can do more. I answer that question as yes. We are extremely proud of the caliber of the organization we have built with women and minorities, representing 50% of our workforce globally and 46% of our senior leadership team. And although figures alone position us as a leader in our industry, we are focused on further improving and enhancing our efforts to build a truly diverse and inclusive organization. There's not been a time in recent memory when people in organizations cared more of who they are partnering with, and we are working hard to ensure we continue to be an organization that brings pride to our clients, partners and shareholders. 
 Finally, before I move to cover some of the quarter's results in detail, let me now take a minute to talk about what's going on in the private markets. A similar store to the public markets, valuations, fundraising and deal activity across all sectors have rebounded, in some cases, to levels higher than what we saw pre pandemic. The readout has not been uniform in some industries we set such as growth in technology, doing very well, while other sectors such as energy and some parts of the region markets struggle. Housing partners and investors reacted at no point, did you see any of the panic reaction we saw in the global financial crisis. 
 By and large, investors have maintained and more often increase their allocations and have continued investing across all parts of the private markets. There has been a small shift favoring growth-oriented investments in some areas of the credit markets, and we haven't seen any significant changes in how investors are approaching the private markets. 
 Let me now turn to some results for the quarter. Beginning on Slide 4. Here, we highlight our total asset footprint, which we define as the sum of our AUM, assets under management and AUA, assets under advisement. Total asset footprint for the quarter stood at approximately USD 547 billion and represents a 14% increase to our footprint year-over-year, continuing our long-term growth trend. Consistent with prior quarters, AUM growth year-over-year, which was approximately USD 7 billion or nearly 11%, came from both our specialized funds and customized separate accounts and continues to be diversified across client type, size of client and geographic region. Our focus remains simply growing and winning across both lines of business, and we are pleased with the continued success. 
 As for our AUA, similar to what we've seen with our AUM growth year-over-year, which came in at over USD 58 billion or approximately 14% is from across client type and geographic region.
 As we have mentioned on prior earnings calls, AUA can fluctuate quarter-to-quarter through a variety of reasons, but the revenue associated with AUA does not necessarily move in locks up with those changes. And while this quarter saw an increase in AUA dollars relative to previous quarter, we will continue to emphasize that no direct correlation exists between the scale of AUA dollars and revenue generation. 
 Let me now turn it over to Erik. 
Erik Hirsch: Thank you, Mario, and good morning. Moving on to Slide 5, we highlight our fee-earning AUM. As a reminder, fee-earning AUM is the combination of our customized separate accounts and our specialized funds with basis point driven management fees. We will continue to emphasize that this is the most significant driver of our business as it makes up over 80% of our management and advisory fees. Relative to the prior year period, total fee-earning AUM grew $3.2 billion or nearly 9%, stemming from positive fund flows from across both our specialized funds and our customized separate accounts. 
 Taken separately, nearly $1.7 billion of net fee-earning AUM came from our customized separate accounts. And over the same time period, $1.5 billion came from our specialized funds. Growth in these 2 segments continues to be driven by 4 key components: one, re-ups from our existing clients; two, winning and adding new clients; three, growing our existing fund platforms; and four, raising new specialized funds. 
 What you also see here is that our fee rates continue to remain steady. 
 Moving to Slide 6. Fee-earning AUM from our customized separate accounts stood at $24.6 billion, growing approximately 7% over the past 12 months. We continue to see the growth come in across type, size and geographic location of the clients. What you also see here is that over the last 12 months, more than 80% of the gross inflows into customized separate accounts came from existing clients. You've heard us say in the past that re-ups from our existing client base remains a key component of the growth we've achieved in this segment of fee-earning AUM. 
 In addition to reps, we continue to expand our client base by winning and adding brand-new relationships, which, in turn, provide a growing base for future re-up opportunities. 
 Moving to our specialized fund. Growth here continues to be strong. We are executing well across our existing product suite and are tactically introducing new product lines. Overall, demand remains robust, and like the rest of our business comes from a diversified set of investors around the globe. Over the past 12 months, we've achieved positive inflows of nearly $1.5 billion, resulting in a nearly 11% increase in fee-earning AUM. 
 Turning to fund specific updates. I'll start with our current secondary fund, which continues to be the primary driver of growth in specialized fund fee earning AUM. During this recent quarter, we closed on approximately $250 million of LP commitments, and that brings the total dollars raised for this product to approximately $2.5 billion. In prior calls, we told you that we had until October of 2020 to finish raising this fund. However, given strong demand and a strong pipeline of investment opportunities, our current investors have graciously allowed us to extend the fundraising deadline to January 2021. 
 Lastly, similar to prior closes with this product, this closing did generate retro fees of $2.9 million in the quarter. Next, our annual credit fund focused series continues to attract capital. To date, the current series has raised over $290 million of commitments, and we have until the end of January 2021 to complete raising capital. For the benefit of those less familiar with the series, it is a relatively unique structure, whereby we are continually raising and deploying dollars simultaneously. Therefore, it is less about targeting a set amount of dollars to raise as you traditionally would see across funds with a multiyear deployment period and more about ensuring that we size the product in line with the current opportunity set. This inevitably will lead to some size variability from series to series. We do, however, typically see commitments to this product being more calendar back-end weighted and would expect that to continue for this raise. 
 Next up is our direct equity fund. For those less familiar with this fund and its strategy, here, we invest directly into companies alongside leading fund managers. We have successfully raised 4 prior funds in this vertical with our last fund having raised approximately $1.7 billion. I am pleased to announce that on October 9, we held the first close for our fifth fund at nearly $320 million. The fund has not yet been turned on as we are still finishing up investing our current fund and thus, no fees for this period. Based on pipeline and pacing, we would anticipate that this new fund goes live starting in January 2021. 
 For this new fund, we've made an alteration to the fee model, reflecting some changing investor preferences. Our prior 4 funds have had a traditional 1% management fee on committed capital, which then switched to a 1% on net invested capital post the investment period. Carried interest was charged at a 10% rate over an 8% hurdle following a European waterfall method. For this new fund, we are providing investors a choice, either the traditional 1% management fee on committed capital with a 10% carry, just as we have in the past or making up for a 1% management fee on net invested capital, and that will come with a carry rate of 12.5%. The hurdle rate remains at 8% as does the European waterfall methodology. 
 We are seeing some investors more focused on early IRR management and thus prefer invested capital models and are willing to pay more for performance on the back end. Part of being a good partner to your clients is listening and understanding preferences and being responsive. For this first close, 33% of the capital opted for the traditional model and 67% opted for the invested capital and higher carry option. We are encouraged by the results from this first close, which was started and completed all post pandemic, and we look forward to providing you updates as we continue to raise this fund. 
 Finally, we continue to see strength in our white label initiatives where we partner with distribution houses and provide products into those channels. Outside of the United States, we continue to see positive net inflows into our semi liquid Evergreen product and are encouraged with the success that we've achieved to date. 
 Before I end here, I want to take this opportunity to discuss our latest technology investment. On September 2, Honcho, a SaaS oriented company focused on compliance-related solutions, announced the closing of the Series A financing round, where Hamilton Lane invested balance sheet capital alongside a blue-chip investor group that included FINTOP Capital and Peter Thiel. Our investment in Honcho was another example of us partnering with leading technology franchises to come together to solve the problem. Not all of these solutions are commercial opportunities for Hamilton Lane. In this case, it would be odd if we announced that Hamilton Lane is now selling compliance software. 
 There are, however, problems that we think need addressing because in doing so, it makes our firm along with our industry better and stronger, and we believe that leads to more growth. So here with Honcho, as with other similar situations, Hamilton Lane was proud to be a strategic partner and investor. 
 And with that, I'll turn it over to Atul to discuss the financials. 
Atul Varma: Thank you, Erik, and good morning, everyone. Slide 8 of the presentation shows the financial highlights for the first half fiscal 2021. We continue to see solid growth in our business with management and advisory fee up nearly 12% versus the prior year period. Our specialized funds revenue increased $10 million or 19% compared to the prior year period, driven by almost $1.4 billion in fee-earning AUM added from our latest secretary fund between periods. 
 We recognized $6.1 million of retro fees from the secondary fund in the current year period compared to $2.8 million from our latest co-investment fund in the prior year period. As many of you are likely aware, investors that come into later closes of the fund raise for many of our products pay retroactive fees dating back to the fund's first close. Therefore, you typically see a spike in management fee-related to that fund for the quarter in which subsequent closings occur. Revenue from our customized separate accounts increased approximately $2.9 million compared to the prior year period due to re-up from existing clients and the addition of several new clients. 
 Revenue from our advisory and reporting offerings increased approximately $2.3 million compared to the prior year period. The final component of our revenue is incentive fees. Incentive fees for the year-to-date period were $20.5 million. 
 This fiscal year -- this fiscal quarter saw strong realization activity from the second co-investment fund that materially contributed to the quarter carry total. That is a 2008 vintage fund that has performed well with a 2.5 multi prolonged realized deals contributing over $80 million in realized carry since 2018 and over $20 million in unrealized carry remaining. We remain a very diversified carry story with now over 60 vehicles in a carry position that are ultimately backed by tower of underlying companies. 
 Moving to Slide 9. We provide some additional detail on our unrealized carry balance. We saw a strong rebound in the markets this quarter, in line with market performance, with the balance of 7% from the prior year even as we recognized $40 million of incentive fee during that period. And just to remind everyone, we don't control these positions and thus don't control the timing of the exit. 
 Turning to Slide 10, which profiles for earnings. Our fee-related earnings were up 14% versus the prior year period as a result of revenue growth we discussed earlier. In regard to our expenses, total expenses increased $12 million compared with the prior year period. G&A decreased $5.6 million due primarily to decreases in travel expense, consulting and professional fee and commissions. Total compensation and benefits increased by $17.6 million due to strong operating performance and an increase in headcount. $5.1 million of this increase, however, is attributable to incentive fee-related compensation. For the compensation growth in our fee-related earnings, our goal has been to maintain a steady to slightly increasing feed related earnings margin, which we are on pace for this year. 
 Let me take a moment here to remind everyone about the rent expense associated with the headquarters move that Mario spoke about earlier in the call. While the building is likely to be fully completed sometime next year, as we mentioned in a prior call, we will begin expensing the rent starting in the third fiscal quarter. We expect the impact to our G&A expense will be a run rate increase of $4 million to $5 million annually stemming from the new lease. 
 Moving to our balance sheet on Slide 11. Our largest asset on the balance sheet is investments alongside our clients in our customized separate accounts and specialized funds. Similar to our unrealized carry balance, this quarter saw an increase in value relative to the prior quarter -- to the previous quarter, primarily due to increased valuation changes. In regard to our liabilities, we continue to be modestly levered. And with that, we thank you for joining the call and are happy to take it -- opening up for questions. 
Operator: [Operator Instructions]
 Your first question comes from the line of Ken Worthington with JP Morgan. 
Kenneth Worthington: If we look at net sales, commitments less distributions, September was a slower quarter. Commitments looked like they were in the range of historical levels, but distributions looked elevated. So what is the outlook for distributions? And maybe could you walk through how you're thinking about the different drivers, realizations versus step-downs versus others in the fund and separate account businesses? 
 And then if distributions are going to remain at this level, can you talk about the opportunity to drive better contributions and maybe like an outlook or a pipeline, particularly in separate accounts on the contribution side? 
Erik Hirsch: Ken, thanks. It's Erik. I'll take that. As we said in prior calls, some of this is really just type related, particularly around the separate account side. So on the separate account side, as you know, we're in a tranching mode. And so we had seen some tranches that expire, and we don't always have exactly perfect matches for the new tranche to come online. But the other driver on the distributions in this time period is that we have had, and secondary would be an example. Some of those funds that are now at that kind of 12-year time period are basically rolling off to be non-fee earning. And so it is a combination, as you know, there's really 3 things: aging of the asset; two, what's happening with actual distributions; and three, the timing mismatches between re-ups and tranches expiring. 
 So we would continue to point to growth continues to look strong from our end, and we think some of this just becomes timing noise. 
Kenneth Worthington: Okay. Is there any outlook? So on the tranches expiring, you guys have good visibility into that. If we look at over the next couple of quarters, are there enough tranches expiring where we're likely to remain in this $1 billion-plus distribution quarters? Or is that sort of going to burn itself out and look to moderate? Or are you just unclear? 
Erik Hirsch: It's a little unclear, again, partly because the liquidity is obviously not under our control. So you can look at the aging of the assets, but what we're seeing in terms of what we would expect to see from a pure liquidity point is a bit outside of our control. 
Kenneth Worthington: Okay. And then maybe a little one. The new fee structure in the co-invest fund, do you think that allows you to make that fund bigger than would otherwise be the case and attract more investors? Or was this sort of something that you needed to do to just sort of reach your kind of pre-existing targets? 
Erik Hirsch: I think it's too early to tell. So I think the reason for the change was, as we said, I think, really just being responsive to what investors want. I think what we're finding is that people like choice. And I think what we provided them here was a good creative solution depending on what you're more focused on. Are you more focused on kind of upfront fees or more back-ended fees. And so I think putting that choice, I think, to us, innovative, strong and forward thinking. In terms of timing, remember, we've got 18 months from the date of the first close to complete the fundraising. So we would say coming out of the gate with what felt like a very strong first close, particularly as noted, since this was all kind of done post pandemic, and we've got a long runway in front of us here from a time perspective. So I think we'll continue to provide updates, but early innings here. 
Operator: And your next question comes from the line of Michael Cyprys with Morgan Stanley. 
Michael Cyprys: If we look at the fee-related revenues are up around 12% year-on-year just for the quarter versus a year ago, while the fuel related expenses are up around 8% or so the earnings. So it looks like you guys have about 400 basis points positive operating leverage there. I'm just curious how you guys would characterize that sort of spread there, arguably, you're getting a lift from the travel side? Just trying to think through, maybe you can provide some color on where do you see that gap normalizing between the revenue growth versus the expense growth on the fee-related side? And any sort of quantification around the benefit or uplift you guys are seeing on the expense side from the environment that we're in today? 
Erik Hirsch: Yes. Mike, it's Erik. So I think as we noted, I mean, all the things you pointed to on the G&A side have been true. I think it's really hard to forecast out. So while we're seeing return to normal or at least more normal in some parts outside the U.S., we have offices that are open businesses, again, returning to a little bit more of a normal state. We're also not seeing big events to take part of our G&A. Aside from the travel, conferences, hosting events, et cetera. I think it's just too early to tell whether that truly returns to what it was or whether those numbers stay lower. The rent thing we obviously covered. So we think this is -- G&A is going to be rising as that rent continues to come online. So there's no surprise there. I think we've been telegraphing that very clearly. But I think on the variability on G&A that's really COVID related, I think too early to tell what a new return to normal looks like. 
Michael Cyprys: Okay. And just maybe a follow-up question. You guys recently raised an impact fund, I think, maybe it was last quarter or the prior quarter. So maybe just on the commingled specialized fund side. Just curious what sort of new funds or strategies could be making sense to bring to market as you look out over the next couple of years as you think about the light space that's out there just in terms of other sectors or sub asset classes within the private markets? How are you approaching that? How do you think through prioritizing that versus other initiatives? 
Erik Hirsch: Yes. It certainly is a priority for us. I mean I think we said in the past that we view ourselves as a relatively young and small player in the commingled product side. And we have aspirations to get that s to be much bigger. You can see that a big chunk of the current growth is being driven by us just improving and expanding the size of the current platforms that we've had. But as you know, there's a lot of white space out there in the product market. I think we've also been careful, as you've seen us to not sort of telegraph where we're going to make sure that we're kind of maintaining competitive advantages. So I think on the new funds, just like on impact, you all are going to hear about them once we've actually had a closing under our belt and that the product is already launched as opposed to us proactively telling the market what we're about to go think about raising. But we think a lot of white space, a lot of room to grow there. 
Operator: And your next question comes from the line of Alexander Blostein with Goldman Sachs. 
Alexander Blostein: I wanted to follow-up on the pricing structure change that you discussed a little bit earlier. So I guess the question is why now, the J-curve mitigation efforts kind of well understood, and I feel like that was always part of the picture. So curious to see sort of why is this happening now? Are you seeing more explicit pressure from LPs on making those kind of changes to help them mitigate J-curve dynamics. Do you see that more as a Hamilton Lane dynamic? Or is that more of an industry phenomenon that's starting to unfold? And I guess, lastly, do you think we could see a similar structure spillover into other vehicles outside of the [indiscernible]? So could we see kind of direct private equity or something like that or some of the other funds follow a similar pattern from here? 
Mario Giannini: Alex, it's Mario. It's not -- I wouldn't call it so much a pressure question as it is a question of you have investors that have different goals in the market. And so you try to reach as many investors as you can. As Erik mentioned, you have a number of investors that, and as you mentioned, are very J-curve sensitive. And so they much prefer the lower upfront fees, but our client pays the same relatives, if you will, over the life of it is more back ended. And you have others that are indifferent to that and just want to look at what works for them. I think for us, it's like a question of feeling pressure and saying we have to do this as it is a question and saying, what is the market asking for, what does it want. And that's why we've done it. And why now, I think because as the asset class is in sure, investors have said I have choices both in how I invest, and I want to have choices in the price I'm paying for those investments. 
 So I think it's just a question of the maturity of the asset class. As for other products or other services that may have that kind of choice. I don't know that you can say that this one is fairly clear because people look at the co-investment to [indiscernible]. So I think it was a pressure for an issue for investors around that. But I don't know that I look at it and say, oh, this means that all these other products are now going to go to that. I wouldn't draw that conclusion. 
Alexander Blostein: Got it. Great. And a quick modeling follow-up. It looks like the incentive comp rate in the quarter or the comp related to increased incentive fees rather that came in a little bit better than expected. So I'm just curious to get an update of how you guys are thinking about compensation and on carry related from here, if we were to see maybe a bit of a pickup on the utilization front? 
Atul Varma: Alex, it's Atul. I'll take that. So as you saw in the quarter, the carry came in pretty strong, and that drove the compensation up for the quarter. So if you think about there's -- from quarter-to-quarter, it may bounce around a little bit based on business performance. Erik mentioned earlier in the call that we continue to hire. We're filling growth mode. So I think quarter-to-quarter may now round a little bit, but when we get to the end of the year and you look back, I think it will -- you'll see the story is going to be very consistent, which is that our margins are stable and moving up into the right over a period of time. 
Operator: And your next question comes from the line of Robert Lee with KBW. 
Robert Lee: Most my questions were asked, but just maybe a real quick one. And I apologize, I think you mentioned it, but what were the the rental fees in the quarter? I think I heard $2.9 million. I don't know who refer to just the secondary fund or maybe other mutual fees. 
Erik Hirsch: Yes. The $2.9 million, Rob, it's Erik, was result of the secondary fund, and that was really the primary driver of any retro fees. 
Robert Lee: Okay. And great. And then on the -- maybe back to the direct equities fund, I just want to make sure I got in detail. So when you had the first close and basically 18 months from the first close is fundraising. The current expectation is that's not a turn on, where I was at sometime in the first calendar quarter. The announces are going to fund raising after that. I just want to make sure I'm thinking of that correct. 
Erik Hirsch: Sure, Rob, it's Erik again. I'll take that. So what we said here is we had the first close on over $300 million. We don't turn it live until we actually finish investing the prior, which is the current fund. Based on pipeline opportunities, our expectation is that the new fund will go live in January of 2021 assuming that, again, the pipeline, everything else holds. The fundraising is 18 months from the date of the first close and the first close took place in October of this year. 
Robert Lee: Okay. Okay. Great. And maybe just one of the kind of bigger picture environment. I think you kind of pushed into some front. But I've seen showing earnings from some of the, I guess, primary firms and what not. Kind of got a sense on maybe the realization in that it was starting up confronted or there some more M&A or what having are you seeing that same anymore employ base cost or your ops? Or that you kind of touched on maybe it at as or kind of your general sense of on that? 
Mario Giannini: Rob, it's Mario. I think probably it's action and out, but I think what you're asking is whether we're seeing M&A increase, whether we're seeing deal activity increasing? Is that what you're asking? 
Robert Lee: It was mainly on the realization side. It seems like some of the primary firms were more optimistic perhaps that they're seeing more potential for selling asset IPOs as well as kind of deploying yet. 
Mario Giannini: Yes. I would say there are 2 pieces to that. I think as of last week, we expected more realization activity because of a belief that taxes in the United States would increase since like people wanted to get deals done before year-end. If the election results, unclear whether there will be as big a push for higher taxes. So depending on how that shakes out, you will see whether activity increases solely for that reason. I suspect deals that are in process will continue that they have been caused by that. I think just in general, I think what you're hearing from -- from us is markets are strong and exit activity is good. And so certainly relative to earlier in the year, we've seen deal activity increasing across all geographies and across most sectors. So I don't unless we tell me that markets are going to correct significantly, I would expect that the activity in equity. 
Operator: Our next question comes from the line of Chris Shutler with William Blair. 
Christopher Shutler: How much of Hamilton Lane's fee-paying AUM would you classify today as direct investing or co investments? And you expect that percentage to grow over time as a percentage of the total mix? And does that have any impact on how we think about comp expense trending over time? 
Erik Hirsch: Sure. It's Erik. I'll take that. We actually haven't broken out the portion of that. But in the total AUM it's a relatively small amount. I mean, you sort of saw what the prior fund was for our last co-investment fund, which was sub-$2 billion. And so while we include separate accounts with that activity, again, in context to total AUM, it makes up a smaller portion. That said, it's also a very fast-growing portion of the market as more investors want access to that kind of direct equity opportunities. And so to the extent that, that will certainly bring in more carry components. And then with that, the incentive compensation will rise alongside of that. 
Christopher Shutler: Got it. Okay. And some of your competitors, newly publicly traded competitors have disclosed a committed, not yet fee-paying AUM number. Is that something that you can provide or plan to provide going forward? 
Erik Hirsch: Yes. Good question. It's Erik again. At this point, we really don't plan on providing that. I think for a few -- I think a few perspectives there. I think while we have seen those numbers put out as a notion of, hey, growth already built in, the reality is that, that's just normal in our industry. So we all have that to some extent. I think the reason for us is not wanting to sort of overly focus on that. Again, it's not new, it's not novel to the industry. It's just part of the way that a number of contracts are structured. Is because I think from the client's perspective, it sort of sounds more like, hey, we can't wait to spend this, and we'll spend this as fast as possible, we start getting paid on that. That's just never been our mindset. It's not our orientation. And so I think from our perspective, we have it. We have a lot of it, but it's not only we plan on breaking out at this point. 
Christopher Shutler: Got it. Okay. And then lastly, just geographically, can you remind us how much of your your assets today are U.S. versus non-U.S. clients? And any updates on compare kind of the flows are coming from or any trend that you see? 
Erik Hirsch: Sure. It's Erik. I'll stick with that. We said in the past that the business is essentially kind of a 60-40 business, 60% North America, 40% not. It certainly moves around. But in general, that's a pretty good kind of guesstimation of where things stand at any point in time. And that ratio has been steady since we went public. So despite, I think, a lot of talk about the emerging markets being growth areas, and they certainly are. What this also tells you is that we're still seeing an awful lot of growth coming out of the United States. As well as coming out of Europe. So our ratio has been fairly static, and we've been experiencing growth across both developed and non developed markets. 
Operator: And your next question comes from the line of Michael Cyprys of Morgan Stanley. 
Michael Cyprys: I just wanted to circle back on the credit fund strategy that you have. I was hoping you could talk a little bit about your approach to investing that capital, how you approach building a diversified portfolio there? Maybe you can give us a flavor of the types of investments that you're making? 
Erik Hirsch: Sure. Mike, it's Erik. I'll stick with that. So the nice thing about that product is that it's opportunistic credit. We've raised that as an opportunistic vehicle, which allows us to be tactical and to toggle, depending on market conditions. So today, we're focusing on performing credit because the markets are very healthy. To the extent that you saw dislocation in the market, the advantage of that vehicle is that we could immediately move the strategy to focus on nonperforming credit. So investors there have really entrusted us with getting them what we think are the best credit opportunities in the market, whatever that is kind of presently serving up. 
Michael Cyprys: Great. And maybe just last question for me. You mentioned at the start of the call that you guys had opened an office in Singapore. I was just hoping you could talk through your thought process around why opening an office there. Why now? Any thoughts on staffing? How many folks you have over there or expect to have over time? And what other geographic regions could make sense? And how do you approach that? 
Mario Giannini: Sure. Mike, it's Mario. In terms of Singapore, again, it's recognition of an expanding region presence, as you look at the offices we've opened is where we have clients. It's where there are investments, as you probably know, Singapore. Certainly, on the Asian venture capital side is one of the organizations. A lot of channel partners are there. And on the fund aging side, obviously, a robust private market environment. So that's really the core reason in terms of the number of people there. We're able to start fairly small, both investment and client-oriented people. In terms of other locations, again, it really depends on where the client and the investment activity face us and where we think it makes sense to put people there. As you can imagine, opening an office both from a people's perspective and just logistics, it is something that we can all growing. So I don't if there's anything planned today that we know or we're going to open an office and expectation and it's again, as I said no question of where the client and investment opportunities to create a critical mass to have one. 
Operator: And there are no further questions at this time. I will turn the call back over to the presenters for closing remarks. 
Erik Hirsch: Thank you very much. I just want to, again, thank everyone for taking the time to join us, and I hope everyone stays well. Take care. 
Operator: This concludes today's conference call. You may now disconnect.